Operator: Thank you. Good morning and welcome to ATI's Second Quarter 2023 Earnings Call. Today's discussion is being broadcast on our website. Participating in today's call to share key points from our second quarter are; Bob Wetherbee, Board Chair, and CEO and Don Newman, Executive Vice President and CFO. Before starting our prepared remarks, I would like to draw your attention to the supplemental presentation that accompanies this call. Those slides provide additional color and details on our results and outlook that can be found on our website at atimaterials.com. After our prepared remarks, we'll open the line for questions. As a reminder, all forward-looking statements are subject to various assumptions and caveats. These are noted in the earnings release and in the slide presentation. Now, I'll turn the call over to Bob.
Bob Wetherbee: Thanks, Dave. Let me begin by welcoming you to the ATI team. We're really happy to have you with us and we're seeing the impact of your presence already. So thanks for being here. We reported another strong quarter with sequential top line growth and margin expansion. We've accomplished a lot, and I'll use my time this morning to focus your attention on the three highlights about the quarter that I think are most important. First, our core aerospace and defense markets are strong. We continue to grow in A&D, both in absolute dollars and as a percentage of our total revenue and income. Why is this so important? Q2 A&D sales increased 5% over the prior quarter and 39% over Q2 of 2022. Specifically in defense markets, sales surpassed $100 million in the second quarter. This is up 7% from the prior quarter and 25% year-over-year. There's sustained demand in materials for military brown vehicles, rotorcraft and naval applications. Looking longer-term, we're playing a key role in the advancement of hypersonic technologies, an area with significant growth opportunity for our highly differentiated materials. Demand continues to accelerate. Our order backlog is up more than 20% from the beginning of the year, reaching $3.5 billion at the end of June. When you put it all together, strong sequential top line growth in sales, increasing productivity, a very healthy backlog, we're in a very robust part of the cycle with the best still ahead of us. Our percentage of ATI overall revenue attributed to aerospace and defense is now 58%. Just a year ago that number was 46%. We're making rapid progress toward our A&D sales goal of 65%. Highlight number two, our strategic transformation continues to deliver greater and greater benefits. Our High Performance Materials & Components segment is hitting its stride. Sales in this segment grew 12% quarter-over-quarter and 33% year-over-year, driven by ramping commercial aerospace production and robust defense demand. Equally important, HPMC EBITDA margins increased 350 basis points sequentially to 20.5% of sales. This increase was driven by improved overall pricing, mix and volume. All three are enabled by the continued realization of efficiencies in our operations. Our operating teams are doing great work continuing to improve efficiencies and debottleneck our critical production flow paths. The team also recognizes that we're not done improving. We still have work to do to improve the velocity of inventory through our system. We're not where we want to be on managed working capital as a percentage of sales and for a variety of reasons that Don will provide color on shortly. But I'm confident, we'll see tangible improvement in this metric, in the second half of the year.  Highlight number, three, ATI adjusted earnings per share was $0.59, landing at the top end of our guidance range. It all starts with doing what we say we will do, and delivering on our commitments to our customers and our shareholders. And we did this in the face of challenges, including continued recessionary headwinds, and in the industrial markets served by our Advanced Alloys and Solutions segment. Our Asian precision rolled strip business, is stabilizing but not yet in recovery and we're experiencing continuing late deliveries of directed by forging billet supplied by third parties. Q2 was a strong very productive quarter for ATI. It's one more chapter, and there's more of this story to come. I'm excited to talk about, how we see this quarter's results leading us into a strong second half of 2023 and beyond. I'll provide more on that in a moment. But first, Don will share his take on these results, and our guidance for the second half. I'll be back after that to share my perspective on ATI's future, and take us into questions. 
Don Newman: Thanks, Bob. Following those same headlines, I'll add some more color on our results and financial trajectory. First up, we are increasing A&D content. This is directly in line, with our strategy to expand our aerospace and defense leadership. Reaching a near-term high, 58% of ATI's Q2 revenue was driven by A&D. This is up 1,200 basis points year-over-year and up 200 basis points sequentially. With strengthening demand, A&D offers some of our highest margins and projected sustained growth. Our goal for A&D content is 65% or higher of our total business. A&D should continue to drive growth for ATI, and we project it will be greater than 60% of total sales by year-end. Within A&D, sequential jet engine sales increased 10% and defense sales rose by 7%. Strong trends, we expect to continue. Turning to headline number two, margin performance. ATI's overall adjusted EBITDA margin increased to 14.3%. That's an increase of 150 basis points sequentially, driven by our HPMC segment. Overall, adjusted EBITDA increased by 13% from last quarter and 5% year-over-year.  Let's take a closer look at HPMC's Q2 results. 2023 Q2 sales increased $56 million or 12% compared to the first quarter of 2023. Remember, A&D content makes up 83% of total Q2 HPMC sales. It's a key driver in the 33% year-over-year increase in HPMC revenues. Another positive in our HPMC performance, was a reduction of our lingering cost inefficiencies from 2022 and Q1 2023. As expected, that roughly $5 million headwind incurred in Q1 declined this quarter. The improved mix and efficiencies are clearly visible in HPMC's adjusted EBITDA margins, which improved 350 basis points sequentially to 20.5%. Our 2025 targeted EBITDA margins for HPMC are in the low to mid-20% range. This puts us in line with those 2025 targets. Strength in HPMC offset flatness in our AA&S segment where we saw a sequential sales decline. That was primarily due to softness in general industrial end markets and lingering economic impacts, associated with our Asian Precision Rolled Strip business. We're doing a lot of things well and it shows in our results. One area that we know there's opportunity for improvement is managed working capital. It's an area of critical focus for ATI and our leadership team. At the end of the second quarter managed working capital was $1.6 billion or 39% of sales. This balance drops by 120 basis points when adjusted for a $50 million strategic raw material purchase we made in Q2. That purchase was funded with a draw on our ABL revolver. We expect that strategic inventory largely to be consumed and the ABL draw to be repaid by the end of the year. What else is driving higher working capital? I would point to three things. First, we've put inventory into position for the continuing A&D ramp. As Bob noted, our backlog has grown more than 20% year-to-date including 9% growth in Q2. Second, our production rates are improving, which can create inventory spikes as we work to solve downstream bottlenecks and constraints. And third, we have inventory associated with expanding titanium melt capacity ahead of ramping sales. The good news is all of these drivers lead to higher sales earnings and cash generation. We focus on inventory for our purpose. Ramping ahead of new revenue is the best purpose I could think of for near-term inventory increases. We are focused on hitting our 30% managed working capital target by year-end and we're confident we will deliver. We have equally sharp focus on efficient and strategic capital deployment. Our CapEx for the first half of 2023 was $103 million which includes $38 million of carryover related to capital expenditures accrued at the end of 2022. Overall we remain on track in 2023 with our disciplined capital investment plan. We're holding our previous annual CapEx guidance of $200 million to $240 million. It's important to emphasize this guidance includes expenditures associated with our recently announced titanium melt expansion in Richland Washington. We're managing the challenges of working capital in concert with prudent and focused capital expenditures. Therefore we are holding our annual range of free cash flow at $125 million to $175 million. Expanding on cash management, we generated $68 million of cash from operations in Q2. We ended the quarter with a total liquidity of approximately $770 million. This reflects $267 million in cash and $500 million available under our ABL facility. We remain committed to our balanced capital deployment strategy which includes returning capital to shareholders. In last quarter's call, we announced the next tranche of share repurchases with a $75 million buyback program. While we did not repurchase shares in Q2, we expect to complete the $75 million program by the end of the year. And our third area to highlight it was a strong quarter for earnings per share. At $0.59 per share, adjusted EPS was at the high end of our guidance range and $0.03 above the midpoint of the range we provided. The higher performance reflects favorable price and mix tied to A&D growth, this was partially offset by slower industrial demand and moderately lower raw material metal prices. This positive performance builds on our results from the first quarter. This was our fourth consecutive quarter in which revenue exceeded $1 billion. Our revenue of $1.05 billion represents a 9% increase year-over-year and reinforces the sustained strength in demand. We are confident in our position as a premier aerospace and defense supplier. Now, let's look forward to Q13 and full year guidance. For the third quarter, we expect adjusted EPS to be in the range of $0.51 to $0.57. The midpoint of the range, $0.54 is below Q2, driven by planned facility outages in the third quarter. It also reflects our expectation that sales in our Asian Precision Rolled Strip business will continue to be pressured due to China's economic conditions. We are also assuming the slowdown in industrial demand will continue in Q3. We are raising our full year EPS guidance to a range of $2.15 to $2.35 per share. You can use the full year and Q3 EPS guidance to get a sense of how we're thinking about Q4 performance. Assuming Q3 and full year EPS are at the midpoint of their respective ranges then Q4 EPS would be in the range of $0.63 per share. That will be a strong finish to a great year and will provide nice momentum as we move into 2024. What would drive an EPS increase in Q4, continued robust A&D demand, contributions from the restart of the 34th Avenue facility in Albany, Oregon and continued operational improvements. With that, I will turn the call back over to Bob.
Bob Wetherbee: Thanks, Don. We've covered a lot this morning and I can sum it up in one simple statement. We are confident. Look at markets recovering, demand accelerating, focused and disciplined execution, a stronger backlog than we've had in a long time if ever. It's a great picture, I think of where we are and a very positive trajectory going forward. We're converting near-term demand into long-term agreements. In June, we announced that we've secured over $1.2 billion in new commitments. That's an average of $200 million in new sales per year from 2024 to 2029. Of this, roughly 70% is incremental to our announced 2025 targets, assume a targeted incremental EBITDA margin of 30% to 35% on these sales, and the result is an estimated additional $40 million to $50 million of EBITDA per year above our previously announced targets. The collective commitments encompass nickel and titanium materials for aero engine and airframe applications and ground vehicle armor. They represent new share positions and support sustained future growth. To meet this rising demand, we continue to increase critical capacity to ensure we can meet the needs of our customers. It starts with getting more from existing assets. Our restarted Albany, Oregon titanium melt shop is producing at the target levels in the third quarter. That's a key component of delivering the 35% increase in capacity on our 2022 baseline. We're already producing ingots at that location. We'll see the positive financial impact from this capacity as the ingots get shipped as end products starting in Q4. A few quarterly calls ago we announced even more expansion to deliver incremental titanium melt capacity. Last month we named our existing operation in Richland Washington as the site of that build. The expansion is well underway. As we shared previously it will increase ATI's titanium production by an additional 35% over our 2022 baseline. This additional increase is projected to be online by the end of 2024. Additional product qualifications will occur in 2025 and we expect revenue and profits to reach their full run rate in 2026. Added together 35% increase from existing assets including the Albany restart plus 35% from the expansion in Richland a 70% more capacity to support $1.2 billion in confirmed commitments. To say the least, we're well positioned for a strong future. It's important to highlight that the expansion in Richland has capabilities in addition to capacity we'll have the flexibility to produce both standard and premium quality to serve both airframe and aero engine demand. We gained speed and flexibility in the form of extraordinary chemistry control and the ability to input both recycled and prime materials. We continuously refine and advance the mix of capability and products we deliver for our customers to drive the most value for our shareholders. Our strategic transformation has reduced volatility in our quarterly results related to raw material pricing. It stabilizes the consistency of our quarter-on-quarter performance and fuel strategic growth and value creation. So wrapping it up what are we confident about? Well, we're confident in our strategy laser-focused on the strong A&D market. We're confident in our execution. The team is delivering to our customers to meet this ever-growing demand. And we're getting stronger every day unlocking opportunity and operational efficiencies across all of ATI. We're confident in our growth in a disciplined way we're adding capacity and capability. That gives me confidence in our performance today and what we'll achieve long term. We're confident in the shareholder value we provide doing what we say we will with a clear path to go beyond. And last but not least I'm confident in our team. We're working together across the enterprise constantly pushing ourselves to higher levels of performance. Each new production record reset brings more ideas and drives us to strive for more. We've created a system that leverages collaboration and accelerates improvements. I'm honored to lead this team forward. Our success is a large part of why we were delighted to add the role of President to Kim Fields responsibilities as Chief Operating Officer. The team is performing and optimizing our business. Now, it's great to take a minute to recognize the impact her leadership is having. Our customers feel it. Our shareholders are certainly seeing it and our team is responding to it. Titles are first earned and not given and often well before they're given they're earned. So thank you Kim. We're in a great position to grow. It's one of the things that makes us proven to perform. Operator, we're ready for the first question.
Operator: Thank you. [Operator Instructions] Our first question comes from Richard Safran from Seaport. Richard, your line is open. Please go ahead.
Richard Safran: Thanks. Bob, Don, Dave, good morning. How are you? Don, I think this first one maybe for you. And then Bob, if it's okay I got a quick follow-up. I'd like, Don, I'd like to ask, if you could expand on those comments you were making at Paris Air show, the $1.2 billion in new contracts. I'm kind of wondering, if this work is merchant accretive and how also we should think about what that does to your 30% to 35% incremental margin comments that you've made. Thanks.
Don Newman: Okay. Let me take a run at that. The short answer is, yes, they should be accretive. And let me walk you through the math on that. So, we've shared is $1.2 billion of sales commitments over a six-year period. So you spread that out, you expect about $200 million a year and of that, as we think about our 2025 targets, about 70% of that $200 million in annual revenue is incremental. And then, as you think about the margins on that, Rich, I think in terms of 30% to 35% for that new business that we're picking up. Of course, the math on that then indicates, we're going to have probably between $40 million and $50 million of incremental EBITDA that's going to be generated from that new business. As you think about well, how does that affect our existing EBITDA margins for targeted 2025 and then those 30% to 35% incremental margins for the overall business. The short answer there, yes, this should be incremental. And the way to think about the incremental effect and I know you're going to do the math on it, but the math is going to prove out, that it's probably 30 to 40 basis points of enhancement to our incrementals, which we typically range at 30% to 35% and it would have a similar effect you would expect to the 18% to 20% kind of EBITDA margin that we've targeted for 2025.
Richard Safran: Okay. Thanks for that. Bob, something you've done before. I'd like to ask you again about titanium trends. Specifically, could you talk a bit about share gains orders, where lead times are? And if possible pricing, and that's because some of the comments you've made previously I think about not taking on dilutive work. So, any color you could provide on titanium trends would be helpful. Thanks.
Bob Wetherbee: All right. Well, thanks Rich. Certainly, dominating our lives these days as we ramp up and increase our capacity and debottleneck. And so actually, because of the improvements we've been making, we've actually been able to, I'll call it, lower the bar in terms of what's accretive, right? We actually have more access to more accretive business going forward because of the improvements that we've made. So some of the historical paradigms have actually moved away from us, opening up a bigger access. But to your point, let's use the $1.2 billion that we announced as kind of a baseline for share gains. I would say, the split of that is about two-thirds titanium and one-third nickel roughly, the $1.2 billion. And the titanium is clearly a result of taking share based on the world's adjustments post Ukrainian invasion by Russia right? So, that's the lion's share of it. The other third in nickel was actually share we picked up due to quality of performance versus our customers, but you're asking more about the titanium side. So, share gain's pretty aggressive. We are seeing benefits to that in 2023, but we're not quantifying it. But by 2024, we'll see a pretty big start there with the titanium share gains. In terms of lead times it's kind of reflective of our backlog the 20% rise we've seen in the backlog. I would say we said a couple of quarters ago that if you knew anybody who was trying to order titanium in the long-term they should get their contracts in and that's what we've seen a heavy contract load. So, like titanium bar orders are out Q4 2024. Titanium plates, probably depending on the customer and these commitments that we picked up in titanium Q3 2024 maybe even into 2025 for some products. If you wanted to -- just kind of some transactional business maybe we have some opportunities in Q2 of 2024, but that's kind of where the market is. It's extended. And as we start up with 34th Avenue Albany facility, we've got a few slots kind of left in late 2023, but they're starting to be pretty sparse. So I think from a lead time perspective that helps on titanium. And then on the pricing side, I think it's definitely been a seller's market. I think people are trying to get their supply secure and reliable. I do think we're getting value for the reliability and quality. But in terms of pricing I would say we're seeing appropriate increases for where we are in the stage and the market. I think that was your list. There's always like six questions in there Rich hopefully I got them all.
Richard Safran: You did. I'd just like to go for efficiency. Thanks, Bob.
Bob Wetherbee: All right. That’s good. We do too. Thank you.
Operator: Thank you. Our next question comes from Seth Seifman from JPMorgan. Seth, your line is now open. Please go ahead.
Seth Seifman: Hey, thanks very much and good morning. For first question I wanted to ask about HPMC and the strong margin we saw in the quarter and the degree to which mix may have played a role there. I saw the engine sales look like they picked up again sequentially. Are there particular products that you started to sell in the quarter that contributed to the profitability in Q2? And how does that factor in going forward if it did in fact have any impact?
Bob Wetherbee: That's a good question Seth. Good morning. I think the from a mix perspective, I would say our comment about hitting our stride is probably the biggest issue. It probably had a slightly larger mix of ingot, billet and bar, which are some of our great products I think we're also seeing some of the isothermal forgings kind of picking up I wouldn't say we've seen the start of the widebody recovery per se but those are the kind of products that end up heading towards the wide-body market. So I would say modest mix I would say a lot of it is volume revenue and efficiencies that come with that. And certainly the price with these contract upgrades have been positive. So, yeah, I think those are probably the big ones. Don, did you have any color you want to add on that?
Don Newman: Yeah. I think for context, Seth, as you think about the $28 million increase in our sequential EBITDA and that nice expansion on the margin. As you look at it, Bob is absolutely right. It was really all about volume and it was price/mix. But if you want to get a sense as to which of those two really drove is kind of probably two-thirds price/mix driven and about one-third related to volume. So really nice overall contribution to that growth from demand really.
Seth Seifman: Great. Thank you. And then maybe as a follow-up, just looking at A&S and thinking about some of the non-A&D demand headwinds that that segment faces in the end markets. I guess, how do we think about where that is? Is it -- did you kind of end the quarter where things -- where the demand signals were still kind of on the way down? And how did you account for that in terms of the EBITDA that you expect from A&S for the rest of the year, or are we looking at something that's a little bit more stable?
Bob Wetherbee: Yeah, good question, something we are looking at all the time. So we go back to -- it's really about 15% of the segment give or take, mostly the industrial markets you're talking about, I would say we'll see a little bit more decline in Q3 stabilizing into Q4 before recovering in Q1. It's a transitory issue I think driven by two things, three things perhaps. One is obviously the industrial markets, appliances some of the food and beverage type stuff that we supply into and then some of the remnant automotive businesses we have. So those kinds of things, it's really the industrial markets being down. We also tend to see a lot of these products or some of these products going through the distribution channel. And if you're familiar with the distribution channel when OEM's take a breath, just to make sure the economy is going in the right place the distribution channel tends to take two breaths and kind of exacerbate some of that decline. But we do see a solid through or stabilizing in the back half and then moving up in Q1 of next year. And it's also -- we're seeing a little on the energy side. If you go back to May, when oil prices dropped quickly, nickel prices followed they've now recovered. When that happens, the EPCs or OEMs take a breath as well and say well let's just wait and see. We expect those -- those are kind of chunky program or project orders. They'll come back later in the year for probably H1 of 2024 shipments. So it's kind of the general industrial markets, the chunkiness of energy with a little volatility there. But the bottom line is the solid business that we have there heavy and increasing aerospace and defense. Certainly, mid- to high-teens EBITDA by 2025 is definitely our target and we see the runway to be there. But I think we're just going through what everybody else is seeing. Even the reports you guys put out, we actually read them. And it looks like this is kind of different spots and different channels where the economics are kind of floating around and giving people pause. But it is stabilizing in Q4 and then come back in Q1.
Seth Seifman: Cool. Excellent. That's helpful. Thanks very much.
Operator: Thank you. Our next question comes from David Strauss from Barclays. David, your line is now open. Please go ahead.
Joshua Korn: This is actually Joshua Korn on for David. I wanted to ask how you're thinking about nickel pass-through and pension relative to the longer-term 2025 target? Thanks.
Don Newman: Sure. Sure. What I would say is, as you think about those 2025 targets, we shape those targets assuming flat metal prices. So that answers kind of the pass-through assumption that you're talking about. Right now, and we saw this in 2022 as well, we've seen some elevated metal prices, which have elevated pass-through and surcharges. But when it comes to those 2025 targets, we're not assuming that those higher metal prices and that higher pass-through revenue are going to continue to be with us. So that's -- it's at the moment a bit of a headwind to our margins, but we don't expect that that headwind is going to continue to be with us out to 2025. In terms of pension, the simplest way to think about it is that we saw overall about a $36 million increase in pension expense. This is non-cash, but a $36 million increase in pension expense in 2024, and I've shared with you guys in the past, I do not expect that that additional expense is going to be with us in the long-term. It is not assumed to be in those 2025 targets. So that would indicate I don't expect it to be with us and out to 2025. So that will help you as you're thinking about bridging from current performance to 2025 with the increased profitability as well as expanding margins. Does that answer your question? 
Joshua Korn: Okay. Yes. Thank you. And then did the recent drop in nickel prices over the last couple of months negatively impacted the results in AA&S at all in the quarter? 
Don Newman: Yes. The short answer is, yes. So there was a modest pullback on metal prices and the way our business is constructed and contracted. When metal prices go up generally that's a good guy for us, when metal prices go the other direction, it's generally a headwind for us. So as you think about the AA&S business in terms of those headwinds, it was probably $2.5 million to EBITDA something like that $2 million to $3 million start to get super precise on that. But it's probably $2 million to $3 million of headwind in Q2 that we would expect would turn around. We've already seen metal prices actually recovering in early Q3. And so that should be a good guide for us as we look out to the rest of the year. 
Joshua Korn: Okay. Thank you.
Operator: Thank you. Our next question comes from Gautam Khanna from TD Cowen. Gautam, your line is now open. Please go ahead.
Gautam Khanna : Hi. Good morning guys. 
Bob Wetherbee : Good morning.
Gautam Khanna : Bob based on your comments on the new business the $140-ish million annually two-thirds of which is titanium. So you got about $100 million of new titanium business. I was curious does that pretty much exhaust all the opportunity of folks switching away from VSMPO. Or do you think there's still a lot of headroom left to get additional share. I'm just curious how your discussions are largely concluded or the still going on?
Bob Wetherbee : Yes. Well, it's a never-ending process for sure. But I got to get you to put a new number on your pad. You got to think about $200 million of new business of which $140 million is incremental to what we said before, right? So just to make sure we got the same numbers. Yes, so I think the other part of your question, I think that those are -- we're seeing orders against those commitments is what I would say, which is what's driving our lead times out. I think the -- from all the contract commitments done. I would say no. There's, still a couple of big ones that are out there. They don't all expire at the same time. So probably the next renewal points probably 2026 orders and beyond. So as the wide-body comes back, people are reassessing or assessing where they need to be for the long term. So there's, a couple of those. In terms of -- so it doesn't exhaust the opportunities. I think when we see opportunities to pickup or I would call it lack of performance by other industry participants. I think that will be a real concern of the OEMs on the airframe side and definitely on the engine side. So I don't think it exhausts the opportunity. I think we're going to have probably the best titanium capacity situation for the emerging opportunities that come, not overcapacitized by any stretch, but we still see quite a bit of upside as the wide-body market continues to recover. And I think, there's, probably some new product opportunities there as well. And then lastly, we're always using the 80-20 kind of market optimization. So where we have opportunities we clearly continue to prioritize. So I think that's another upside for us in terms of how the mix can still be adjusted. And see did that answer your question, Gautam, do I get them all?
Gautam Khanna: Yeah. I think you did. Just to be clear, so I understand it better. In terms of contract share opportunities those are -- the emergent ones will be against supplier -- competitors that aren't doing as well. But in terms of like big opportunities to kind of reset share, is that 2026 for the next big ones, or is that -- I just want to make sure I understood that.
Bob Wetherbee: Yeah. So we get the $1.2 billion we'll start to see the benefit of that in 2024, right? And then, the next ones you were asking if it was exhausted. And I would say no, it's not exhausted. But the next real opportunity for up-scaling would be shipments in 2026. And that's just a matter of the timing of some of the customer schedules and where they sit in their renewal process. But I do think there's opportunity.
Gautam Khanna: That's very helpful. And then, you guys talked about seasonality, Q3 seasonal maintenance. Could you articulate what the sequential EBIT impact is to HPMC from that? And just if you could reflect on Q1's HPMC performance relative to Q2, because it looked like, in Q1 the throughput wasn't as strong as it could have been. It was back-end loaded in the quarter. Did all of those issues kind of resolve and therefore we had a very clean Q2, or is there still opportunity that was on the table in Q2.
Don Newman: Sure. This is Don. Let me take a run. Yeah. So let me take a run at that. So first of all, in terms of the -- let me answer the second question first. In terms of the Q1 to Q2 performance for HPMC, it was really about volume and price/mix, right? So some of the bottlenecks that we were seeing in the business were resolved in Q2 that released what had been some constraint in HPMC when we got through Q2. Are there more opportunities for that? Yeah, we believe so, quite strongly actually. And part of that has to do with the work that's being done around our management and capital flows, the inventory flows in the business, really improving that throughput which will have a positive effect on sales and profitability et cetera. In addition to that, Kim and the operating teams are doing a phenomenal job identifying operational efficiencies and those are opportunities existing not just for HPMC, but also for the A&S business units. And so we can see over time that those would be additive to the performance in our business. To answer the question in terms of how to think about the seasonal outages that we talked about for Q3 not much of that is really related to HPMC. So I wouldn't expect to see any significant pullback in terms of performance in HPMC in Q3. So that outage -- the outages are scheduled in Q3 in A&S. The way to think about dimensionalizing, those think in terms of probably $8 million to $10 million of effect to the performance. And if you do the math on the EPS drop from Q2 to Q3, you'll see that kind of the general direction of that increased spend being reflected in Q3 performance. Now, there's some offset. You'll see it in the math when you run the numbers. Obviously we're expecting the A&D performance to -- especially in that HPMC side of the business to continue to perform well. And so that helps to offset some of that outage cost. And then of course, as you saw in our Q4 indications we're expecting a nice breakout quarter in Q4 based upon getting out of those outages continued A&D strength et cetera, et cetera. 
Gautam Khanna: Excellent. Thank you so much.
Bob Wetherbee: You bet.
Operator: [Operator Instructions] Our next question comes from Timna Tanners from Wolfe Research. Timna, your line is now open.
Timna Tanners: Thank you, and good morning, everyone. I just had two questions remaining. I was looking at my past notes and you had said that you expected that China hit the disappointment in China to be a first half story with stabilizing or improving in second half. So is this a change to that? And what's embedded in your guidance now? Is it just assuming kind of soft conditions continue in China, or anything you can clarify there would be great?
Don Newman: Yeah. So, if this is -- if this lacks clarity then please let me know time. So you're absolutely right. When we were entered into in 2023, we saw slowness carried over related to that precision rolled strip business. And our expectations were that, that slowness would recover in the second half. We have not seen recovery in this precision `rolled strip business. And so what we've assumed in the guidance is that, the performance in Q2 off of that PRS business will continue through the second half of the year. If there is a recovery obviously that's an upside to our guidance. 
Timna Tanners: Okay. Helpful. Thank you. And then a random question perhaps but I know you used to be a big player in the electrical steel market and that's been really, really strong. I would just wonder, if it would even be possible to return to producing much electrical steel whether it be nongrain or grain-oriented. My understanding is those margins have exploded over the last couple of years and demand is expected to be strong. So just wondering if it's possible and if you would think about it. Thanks again.
Robert Wetherbee: Yes. Fair question. I always like clear concise answers like you do Timna, which is no we're not getting back into that business. We made a decision back in 2015, 2016 based on the assets we had at the time to devote our capital allocation strategy towards aerospace and defense and that's what we're still doing. We do see opportunities. I would say in the magnetic alloys. So alloy differentiation where there's we see very good product opportunities and we see technology differentiating but in terms of the historical electrical steels or grain-oriented electrical steels it's a big fat no. We're done. 
Timna Beth: Okay. Thank you.
Operator: Thank you. There are no further questions on the line. I'll now hand back to David Weston for any closing remarks.
Unidentified Company Representative: Thanks again for joining us today. This concludes today's ATI Second Quarter 2023 Earnings Call. A replay will be available on our website. Thank you. Have a good day. 
Operator: This concludes today's conference call everybody. Thank you very much for joining. You may now disconnect your lines. Thank you. Have a good day.